Operator: Please standby. Good day and welcome to the Transocean Limited First Quarter 2017 Earnings Conference Call. Today’s call is being recorded. And at this time, I would like to turn the conference over to Brad Alexander. Please go ahead, sir.
Bradley Alexander: Thank you, Yolanda. Good morning, and welcome to Transocean’s first quarter 2017 earnings conference call. A copy of the press release covering our financial results, along with supporting statements and schedules including reconciliations and disclosures regarding non-GAAP financial measures are posted on the company’s website at deepwater.com. Joining me on this morning’s call are Jeremy Thigpen, President and Chief Executive Officer; Mark Mey, Executive Vice President and Chief Financial Officer; and Terry Bonno, Senior Vice President, Industry and Community Relations. During the course of this call, participants may make certain forward-looking statements regarding various matters related to our business and company that are not historical facts. Such statements are based upon the current expectations and certain assumptions of management and are therefore subject to certain risks and uncertainties. Many factors could cause actual results to differ materially. Please refer to our SEC filings for more information regarding our forward-looking statements, including the risks and uncertainties that could impact our future results. Also, please note that the company undertakes no duty to update or revise forward-looking statements. Finally, when we enter the question-and-answer portion of the call to give more participants an opportunity to speak on this call, please limit your questions to one initial question and one follow-up question. Thank you very much. And now, I’ll turn the call over to Jeremy.
Jeremy Thigpen: Thank you, Brad, and a warm welcome to our employees, customers, investors, and analysts participating in today’s call. First and foremost, I’d like to recognize and thank the entire transition team for achieving an impressive and important milestone in the company’s long and distinguished history. In late March, Transocean eclipsed one full-year of operation without a single lost-time incident. While we’re certainly proud of this extraordinary achievement, we know that we must remain vigilant as we continue our relentless drive towards an incident-free workplace. In addition to our outstanding safety record, we have started the year with very strong first quarter results, carrying on the momentum we built in 2016. As reported in yesterday’s earnings release, the company generated adjusted net income of $4 million in the first quarter, or $0.01 per diluted share on $785 million in revenue. Our continued commitment to maximizing uptime and performance for our customers, combined with the efficiencies we’ve achieved through streamlining our business and our processes have enabled us to remain profitable in this challenging market. As a testament to our uptime performance, for the quarter, revenue efficiency was 97.8%. Of note, we delivered this performance while placing into service our third newbuild drillship within the last 12 months, the Deepwater Conqueror, which has performed almost flawlessly since commencing operations for Chevron. Needless to say, we’re very pleased with this outcome and it validates the extreme focus we placed on ensuring that our newbuild assets are ready to exceed our customer’s expectations from day one. In addition to our strong uptime performance, we continue to focus more intensely on improving the efficiency and consistency with which we conduct well construction activities. Over the past three months, we launched our performance dashboard, which provides us with increased monitoring of key benchmarks from crew to crew and rig to rig for those drilling activities that lie principally within our control. The combination of this heightened focus and new dashboard application has resulted in a marked improvement in drilling efficiency, which will drive material cost savings and lower break-even levels for our customers. While delivering safer and more efficient operations, we also continue to realize opportunities to more cost effectively deliver our industry leading services to our customers. Across the organization, we are thoroughly evaluating every activity, every process and every dollar spent. As a direct result of this laser-like focus, our first quarter adjusted normalized EBITDA margin was an impressive 48%, despite a 7% sequential decline in adjusted normalized revenue. And through the thoughtful analysis of data, the application of new technologies, our innovative approach with key suppliers and our ongoing exhaustive review of key processes, we believe that we can deliver additional structural cost savings, which should drive best-in-class incremental margins as we come out of this downturn. Looking at the macro environment, we remain encouraged that global demand for oil continues to increase and according to the IEA, 2016 marked a record low in new discoveries, which certainly raises questions about future supply. We’re also encouraged to see that OPEC has demonstrated both the willingness and ability to adhere to their stated production cuts. We also see that many of the main deepwater projects that have been on hold for the last couple of years now carry break-evens at or below $50 per barrel and in increasing numbers at or below $40 per barrel. And finally, we see the cost inflation onshore coupled with structural and sustainable cost savings offshore are nearing the risk reward gap between onshore and offshore investments. As a result, our conversation with customers remain constructive. During our last earnings conference call, we stated that a price per barrel in excess of $50 seem to spark demand from certain independent international oil companies. We also stated that we are seeing pockets of demand emerging in the UK, Norway, India and Southeast Asia. Well, as noted in our Fleet Status Report, we successfully contracted the harsh environment floater, the Transocean Spitsbergen with Statoil for work in both the UK and Norway beginning in the third quarter and extending into late 2018. We were able to secure this important contract, because we once again offered a unique commercial model, which is completely aligned with our customer’s objectives and includes performance-based compensation and the provision of integrated services. We were able to offer this model, because the breadth of our historical data and the performance of our crews, assets and shore-based support teams give us confidence in our ability to deliver. While we’re not sure if this type of model will become more commonplace across the industry. We recognize that our ability to seamlessly integrate our drilling services with other services greatly enhances the cost profiles of our customers’ projects. We believe that in the long run, this type of collaboration will lower the total cost of and further the viability of Deepwater projects. This in turn will increase the number of final investment decisions made by our customers. As we look out over the balance of the year, demand for our assets and services will continue to be driven primarily by oil prices. If prices continue to hover around $50 per barrel then we would expect to see more contracts materialize over the coming months. Consistent with this expectation, Terry will tell you about some recent contract awards that we secured after our Fleet Status Report. While we certainly remain hopeful that we will continue to experience incremental demand for offshore drilling services, we acknowledge that we must take the steps necessary to further strengthen our enterprise, as we successfully navigate this downturn and prepare for the eventual recovery. One such step includes our ongoing negotiations with Borr Drilling to sell our current fleet of 10 high-specification jackups, as well as our five jackups under construction for a total consideration of approximately $1.35 billion. This potential transaction is consistent with our strategic goal of remaining the industry’s undisputed leader in ultra-deepwater and harsh environment markets, where our high-quality assets, unmatched operational experience, and trusted customer relationships provide us with a clear competitive advantage. This proposed transaction is also consistent with our goal of enhancing our near to mid-term liquidity to provide greater strategic optionality. Once this transaction is consummated, over 80% of our fleet will be comprised of either ultra-deepwater or harsh environment floaters. This ratio will increase within the next 12 months, with the introduction of the Deepwater Pontus and Deepwater Poseidon, our two remaining drillships contracted to Shell for two-year terms. And as previously discussed, we will continue to look outside Transocean and evaluate opportunities to further grow and enhance our ultra-deepwater and harsh environment fleet. As you well know, many of the distressed players in the industry with attractive assets are now restructuring, which increases their appeal as consolidation candidates. There are also a number of stranded rigs available in shipyards that are highly capable and therefore desirable. We will continue to closely monitor the entire landscape, as we consider opportunities to grow and high grade our fleet. In addition to restructuring our fleet to support our strategic objectives, we will continue to strengthen our financial position, continue to realize opportunities to streamline our business, and continue to manage our operations in a manner that consistently delivers the safest, most reliable and most efficient operating results in our space. In conclusion, I’d like to once again thank all Transocean employees for delivering another great quarter. As a team, we continue to deliver exceptional revenue efficiency, strong EBITDA performance, and solid cash flow generation, all with a continued focus on realizing the long-term strategy of the company. Most importantly, we’re delivering these results while never losing sight of our most sacred responsibility, the safety of our operations and our people. I’ll now hand the call over to Mark.
Mark Mey: Thank you, Jeremy, and good day to all. For today’s call, I will recap the first quarter results and provide an update to our 2017 guidance. I’ll also provide an update to our financial position and liquidity forecast through 2018. For the first quarter of 2017, we reported net income attributable to controlling interest of $91 million, or $0.23 per diluted share. As detailed in our press release, first quarter results included $87 million, or $0.22 per diluted share in net favorable items. Excluding these items, adjusted net income was $4 million, or $0.01 per diluted share. Contract drilling revenue decreased $35 million sequentially to $738 million, due largely to reduce activity related to 215 fewer operating days. Offsetting this decrease was a full quarter’s contribution from our latest deepwater drillship, the Deepwater Conqueror, and higher day rates associated with a change in the operating location to the Gulf of Mexico from Trinidad on the ultra-deepwater drillship, Deepwater Invictus. And as Jeremy mentioned, we achieved another solid quarter of revenue efficiency of 97.8%. So consistent delivery of 95% with better uptime for 12 of the past 13 quarters, we continue to effectively monetize our backlog. Other revenue was $47 million, which included customer reimbursables and $37 million associated with early termination fees. This compares with $181 million in the prior quarter. First quarter’s operating and maintenance expense was $343 million, which included $8 million in favorable items associated with litigation matters. This compares with $314 million in the prior quarter, which also included favorable litigation matters totaling $30 million. Sequential difference was due primarily to the commencement of operations of Deepwater Conqueror and a full quarter of activity on the Transocean Arctic. First quarter OpEx was slightly below our forecast, due largely to a performance litigation matter and a delay in performing certain maintenance projects during the quarter. G&A expense for the quarter decreased sequentially by $8 million to $39 million, as the fourth quarter was impacted by restructuring costs. And also, as Jeremy mentioned, our adjusted normalized EBITDA margin was 48% for the first quarter. This is most impressive, given the challenging environment of rapidly declining day rates. It can’t be overemphasized how much focus the entire organization has placed on streamlining operations, while continuing to operate our rigs consistently at a high-level of safety and operational performance. As anticipated, our first quarter effective tax rate, excluding discrete items was 82.1% compared with 3.3% in the previous quarter. The increase was due to reduced pre-tax income. Remember that as pre-tax income decreases during a downturn, the effective tax rate increases significantly. Cash flow from operations of $184 million compared with $633 in the prior quarter. The decrease was due mainly to a prior quarter collection of payments associated with the deferral of our 4 contracted deepwater drillships. Capital expenditures in the first quarter were $122 and were largely related to the construction of the aforementioned drillships. And we ended the first quarter with cash and cash equivalents of $3.1 billion. I’ll now provide an update on our financial expectations for the second quarter and the full-year 2017. Other revenue for the second quarter of 2017 is expected to be approximately $454 million, which includes customer reimbursables and approximately $40 million of revenue, primarily associated with the early termination of the Deepwater Asgard. We expect second quarter 2017 O&M expense to range between $255 million and $265 million. The increase over the first quarter of 2017, when excluding the litigation matters is mainly associated with the timing of certain maintenance projects that moved from the first into the second quarter, as well as further costs associated with the reactivation of the Transocean Barents. We expect second quarter G&A expense to range between $33 million and $38 million. Capital expenditures, including capitalized interest for the second quarter of 2017 are expected to be approximately $180 million, mainly associated with our newbuild drillships. For the full-year, we reiterate our 2017 revenue efficiency guidance of 95%. Other revenue for 2017 is expected to be approximately $115 million, which includes customer reimbursables and the revenue associated with the early termination of the Deepwater Asgard. Our guidance also includes additional services related to our recently announced contract in our harsh environment semi-submersible, Transocean Spitsbergen. We are reducing our full-year 2017 operating and maintenance guidance to between $1.4 billion and $1.45 billion, emphasizing the lower-end of our previous range. This updated range excludes any additional reactivations. There are no changes to our prior guidance for G&A expense, depreciation expense and capital expenditures. All guidance excludes the potential sale of our jackup fleet to Borr Drilling, which will likely close in the second quarter of 2017. We’ll provide updated guidance once the transaction is closed. Regarding the potential Borr transaction, we are in advanced negotiations towards a definitive agreement to sell our fleet of 10 high-specification jackups plus five jackups under construction for a total consideration of approximately $1.35 billion. This includes the assumption of approximately $915 million of future newbuild commitments and $400 of cash, which includes approximately $80 million associated with the cash flow from the remaining back – contract backlog on the operating jackups. Full-year 2017 net interest expense is expected to be between $465 million and $475 million. Net interest expense includes capitalized interest of $155 million and interest income of approximately $15 million. The increase in net interest expense is associated with amortization of debt issue costs, another capitalized interest due to a pause in the construction of two jackups and two drillships in the first quarter. We are lowering our full-year tax guidance to between $70 million and $80 million. This updated focus includes approximately $30 million paid in the first quarter of 2017. We anticipate non-controlling interest for the year to result in a charge running between $20 million and $25 million. Turning now to our financial position and liquidity. The window related to our open-market repurchase program was shortened this quarter due to potentialmaterial nonpublic information associated with the Borr transaction. As such, early repurchased debt totaling $15 million during the quarter. When included in the potential Borr transaction, our end of year 2018 liquidity is projected to be between $4.5 billion and $4.9 billion. Moving onto the operating assumptions behind the projected liquidity. Revenue efficiency of 95% throughout the period, a limited number of new contract awards with various assumed at or near cash break-even costs to 2017 with marginal revenue improvement in 2018 and no expected reactivations. In 2018, we expect total CapEx of approximately $325 million. This includes approximately $100 million in newbuild jackup CapEx and $225 million for maintenance CapEx. Liquidity pro forma for the aforementioned jackup sale exceeds $6.3 billion, all of which remains available for immediate use. This includes our unsecured $3 billion revolving credit facility maturing in mid-2019. With respect to the significant level of liquidity and keeping with our stringent return on capital employed requirements, we continue to evaluate a number of value-creating options, including liability management, single-asset and corporate transactions. This strong liquidity position combined with our industry-leading contract backlog of $10.8 billion. This positions us very well to take advantage of these opportunities. To conclude, we are very pleased with our level of safety and operational performance, including our operating revenue efficiency and continued improvements in our cost structure. We will continue to challenge the status quo and build upon this momentum to move up and give a greater performance to rebridge ourselves in the future. I’ll now turn the call over to Terry.
Terry Bonno: Thanks, Mark, and good day to everyone. I’d like to start off today’s call by celebrating an important and strategic contract we recently won. Our extensive customer relationship and innovative commercial model helped us capture multiple well programs in both the UK and Norway with Statoil for the harsh environment semisubmersible Transocean Spitsbergen, adding approximately $83 million in contract backlog. The Spitsbergen has delivered some of the best harsh environment wells in the industry. You may recall that the last well this Spitsbergen drilled for Statoil was named the perfect well based on the speed in which it was drilled, blowing away their technical limit. We are further excited to be contracting her in conjunction with an integrated package of services, that includes the ROV and casing running plus performance incentives with the expectation we can continue to increase our drilling efficiency. The initial contract award is for three exploration wells with an estimated duration of 90 days in the UK sector of the North Sea. This contract includes a price option for an additional well with an estimated duration of 30 days. The second contract in the Norwegian North Sea is for six production wells with an estimated duration of one year. This contract includes price options for an additional six exploration wells with an estimated total duration of 180 days. The first contract is scheduled to commence in the third quarter of 2017. We are also currently seeing more positive signs of life offshore. Consistent with our optimism, we are very happy to announce a new contract award, plus four extensions in multiple operating areas. Of the five new awards, four will be commencing drilling operations in 2017. This will include the restarting of a warm-stacked 6th generation ultra-deepwater floater. Before I discuss these new awards, I’d like to mention that we are very close on the reactivation from warm-stack and the signing of a related contract for the deepwater Asgard with an operator in the U.S. Gulf of Mexico. This will put her back to work before year-end, another opportunity in 2017. Additionally, the Development Driller three has just signed for a two-well program, plus a one-well option. We are confident of attracting follow-on opportunities for both of these floaters. We’ve also extended two floater and two jackup contracts. The Paul B. Loyd, Jr. has received the one well extension offshore UK and the Transocean Arctic has extended for three wells offshore Norway. The Transocean Andaman and the Siam Driller have received the extensions for one in two months respectively in Thailand. We also remain engaged in productive dialogue with several national oil companies and independents that are assessing opportunities and looking to take advantage of a low-cost environment. Additionally, customers are requesting more information on readiness of cruise and floaters to return to work. As of April 24, our backlog continues to be industry leading at $10.8 billion. Excluding some brief movements, oil prices have generally remained about $50 for the first four months of the year. Longer-term forecasts continue to support prices moving upward. With OPEC maintaining production cuts and global demand for oil continuing to trend upward, we remain confident the supply demand balance will continue to narrow. In a recent article, the IEA warns of oil shortages by 2020 due to lack of investments as discoveries fall the record lows, resulting in the lowest oil discoveries of $2.4 billion in 2016. This is the lowest since the IEA began recording in 1950. Their analysis also indicates U.S. Shell cannot fill the void of global decline in production, resulting in a lack of supply to meet the growing energy needs of the world. The continuing strengthening in oil, we expect more sanctioning of deepwater projects in 2017. As we look towards 2018, we remain encouraged with many of the IOCs now stating that their deepwater projects are economic around $50 per barrel and in some cases lower. Recently at OTC, BP stated deepwater can compete with Shell any day. Through BP’s cost-cutting efforts, standardization and optimization of their portfolio, deepwater breakeven costs are now below $40 a barrel compared to $80 a barrel in 2014. Now, I’d like to turn to Brazil. As we previously discussed on our last call, new legislation in Brazil will further pave the way for international investment by the majors through multiple bidding round opportunities in 2017 and 2018 and promising exploration incentives. New initiatives being discussed are lower royalty fees for frontier block, streamlining of environmental licensing and permitting, and an extension of special tax breaks for imported offshore equipment to name a few. Increasing pro-business discussions are creating huge interest in the upcoming bidding rounds. As we have recently participated in tendering offering from Statoil and Chevron, many other IOCs are looking at their portfolio drilling opportunities in this key areas. And we expect to see contracts awarded and wells being drilled in Brazil by 2018. On a very positive note, the mid-April injunction was listed on Tuesday allowing Statoil’s $2.5 billion deal with Petrobras to proceed. We are also seeing opportunities in other parts of Latin America, including Trinidad, Colombia, Indiana as the number of operators have programs that should begin in the next 12 months. Additionally, Uruguay just – it’s announced tendering for 17 blocks offshore for water depths up to 3,000 meters. We also continue to remain encouraged by the likelihood of deepwater work in Mexico with the second licensing round for Deepwater blocks to occur in December. Offshore Mexico activity for 2018 is gathering steam with customers focus on logistical planning, well program preparation, and completion of tendering packages. We expect to receive, at least, one tender within the next few weeks. Looking at the Eastern Hemisphere, we are also encouraged by indications that activity in West Africa could begin to proceed after a couple of years of stagnation BP has indicated, they will continue their focus on the West Africa, as reflected by their recent investment in Senegal. Senegal is also taking steps to improve their petroleum and natural gas legal framework in Angola. Several measures of flexibility are being introduced for consideration to encourage development of Angola’s natural resources. We’re seeing operators express an emphasis on drilling contractors’ financial stability by including financial metrics in recent tenders. This is narrowing the pool of suitable competitors for upcoming work and has potentially put at risk a couple of near-term awards to drilling contractors that when placed under more financial scrutiny could be disqualified from bidding. Over the past few weeks, we have been on the road in industry events conferences, and customer engagements. Clearly, the attitude has shifted over the course of the past six months. On Monday, we attended an OTC industry event, where attendance was 50% above last year’s number. The optimism was much improved in presentations or signaling and improving path where the train is about to leave the station. In conclusion, we will continue to monitor the industry indicators, improve and focus on what we can control and position Transocean to win contracts or like feeding our employees, customers and shareholders expectations. This concludes my overview of the market. So I will turn it over to you, Brad.
Bradley Alexander: Thank you, Terry. Yolanda, I think we’re ready now to take questions. And as a reminder to our participants, please limit yourself to one question and one follow-up.
Operator: Certainly. [Operator Instructions] We’ll have first from James West with Evercore ISI. Please go ahead.
James West: Hey, good morning, everybody.
Jeremy Thigpen: Good morning, James.
Terry Bonno: Good morning.
James West: Jeremy or Terry, when I look at the market overall, I think, it’s pretty easy for most people to say, okay, we’re still pretty oversupplied for floaters and jackups. The one area that perhaps is going to look here is the harsh environment really we see the pickup and we’re starting to see, I think, a real tightening there. Is that, I mean, on track on that statement that harsh environment is getting closer to some, perhaps an inflection point, or to a better place where we can easily stabilize pricing or maybe even move pricing higher?
Terry Bonno: James, I think that’s a great question, and I think you are spot on. I think what we’re seeing right now is, we’re seeing a lot of tenders coming out. And simply there’s not enough availability of hot warm and ready to go. So now you have to be looking at the opportunity of bringing some rigs out. So we think that we’re going to see some of that coming up here in the near future. We’re very optimistic.
James West: Okay, good. And then, Jeremy, you talked about the dashboard and got a chance to see the other night. But I know that’s newer to the efficiency programs you put in place and we talked a little bit about drilling efficiency and just kind of the massive increases you’ve seen over the last probably four quarters. With the dashboard in place now, with the intro crew competition that you’ve been able to create, I guess, what kind of magnitude have we seen so far? If you could just remind us for that, and what do you see going forward increased efficiency?
Jeremy Thigpen: Yes, great question. Thanks, James. We actually started getting intentional about this, I would say, late Q1, Q2 of last year. And so, since we started really measuring, let’s just talk tripping time for right now, because that’s where we’ve spend the majority of our time just as we started measuring in Q2 of last year through Q1 of this year, we’ve seen a 22% improvement in tripping time. If you look at when we have implemented the dashboard, which was – which is towards the beginning of Q1 just from Q4 to Q1 performance, we saw an 11% improvement in tripping time. So just by measuring making it visible to all the rig leadership and or and the show-based support, we’re already seeing improvement. And so, as we continue to mature with this particular dashboard, we’ll identify best practices, pacific crews that are over-performing benchmark on a consistent basis will take – we will go and visit them, take a look at the process, see if we can adjust our own across the fleet procedures and spread that best practice. Likewise, if we see a crew or rig that’s underperforming, we can quickly send a SWAT team out there to go and address those issues as well. So that just by making it visible and intuitive and just immediately available has demonstrated – has resulted in improvement.
James West: Okay. Okay, perfect. Thanks, guys. I appreciate it.
Operator: We’ll take our next question from Ange Sedita with UBS.
Angeline Sedita: Thanks. Good morning, guys.
Jeremy Thigpen: Good morning.
Angeline Sedita: So, Terry, really impressed of the number of contracts you’ve signed here on the short-term and reactivation of some – reactivating rigs and so forth. But can you talk about oil prices as far as if oil prices stay in the mid $40s, do you think the tone of the conversations could change or the quantity of conversations could slow or still would continue in the $45, $46 level?
Terry Bonno: Angie, with the activity that we are seeing right now and the tenders that are coming up, I think largely the customers are ignoring at the moment that were the burn-ins today, I mean we’re hovering right now around $50 right, so they are ignoring and the tenders that we are seeing in the future years, there is a lot and it’s not just confined to UK and Norway, we are seeing a lot of activity in Asia. We are seeing a lot of activity in Trinidad. Canada, we are seeing quite a few – quite a bit of interest from customers and actually having meetings with customers, asking our expertise and how do you get indication of that. So we’re now seeing a bit more of a broader look than just some of the UK, Norway digging.
Angeline Sedita: Okay, so your thought is in the mid $40s, the pace of conversations would not slow?
Terry Bonno: Well, we’re seeing it now and I don’t think they expect – certainly our expectation is that we are going to see oil will stabilize and improve. And I know that we don’t have the crystal ball, but I think that that’s what our customers are telling us too.
Angeline Sedita: Okay, okay that’s very helpful and very impressive on your – the contract wins. And another one quickly for Jeremy, I know you’ve been a proponent of M&A both on looking at other companies, as well as buying individual assets, but I guess the separate question would be, do you think there’s anything to be gained by the established contract drillers merging with each other?
Jeremy Thigpen: Yes, for us it’s not so much about size, Angie, it is about asset quality, so to the extent that we can first agree on valuations, which has been kind of a holdup today. But to the extent that we can bring some new high-quality assets into our fleet, we think that there are some opportunities there for us. Now, looking at some of the larger more established traditionals coming together, I suppose there could be some benefit for that, but for us it’s really around fleet quality and really targeting ultra-deepwater and harsh environment.
Angeline Sedita: Okay, okay, fair enough. And then real quick for Jeremy, you guys talked about additional structural cost savings, can you give us some further color?
Jeremy Thigpen: I think it’s just this market has forced us all as an industry and certainly us at Transocean to just take a really hard look at how we conduct business. And so as we continue to do that, I mean, we’re implementing changes whether it be structural, process-driven, technology driven changes that that will enable us to grow as the market improves without adding a lot of cost to our support base and so that’s really the focus for us now. We’ve obviously reaped all the low hanging fruit and now it’s really getting to this process and structural issues that are sustainable despite growth.
Angeline Sedita: Great, thanks I’ll turn it over.
Operator: Thank you. [Operator Instructions] At this time, we’ll hear next from Ian Macpherson with Simmons. Please go ahead.
Ian Macpherson: Thanks, good morning. I wanted to ask you Jeremy or Terry really congratulations on the contract for the Spitsbergen with Statoil? And then wondering if you could talk about whether that integrated service approach in the performance structure of the contract was really hold from the customer or push back Transocean and how prevalent you see that becoming going forward? And also are the integrated services such as the casing running, are you subcontracting that to a third-party or is that a capability that you are providing in-house?
Terry Bonno: Okay, good morning, Ian. To answer the first question, and thank you by the way the teams have done a marvelous job working on that contract and the contract specifications actually require that we take on some services that Statoil believe that we have the capability so to do as contract drillers, so that was mandated by the contract. But also we found it to be very positive. They also included the performance incentive and we were able to negotiate something that we were very interested in and also something that we would be winning and they would be winning, so we’re very, very happy with all of those things. In working with third parties, there are some synergies on the rig where we can actually take on fewer people from the casing crew, we would still bring obviously the third-party expertise on, but there are some synergies where casing crew, where our crews can’t do the function of some of the casing crews, and there are some savings there. But this is a very exciting opportunity that we can showcase with our ability to understand the areas that we drill in and also to demonstrate our incredibly efficient drilling and operational expertise, so we are very excited about this opportunity.
Ian Macpherson: Good, well congratulations on that. I wanted to follow-up on Angie’s question on sort of the price elasticity of demand, Brazil specifically, I think we think of the pre-salt having superior well economics to a lot of the other ultra-deepwater. Would you suppose that the opportunities there are probably the sturdiest with regard to price volatility over the next few months?
Jeremy Thigpen: I’d say that’s fair. I mean, Brazil is always a question, because there is always so much going on, but I’d say here recently all the indications are very positive right now and I think you are right, I think the oil did drop a bit that that programs would continue in Brazil and they would continue with their plans.
Ian Macpherson: Okay, thanks Jeremy.
Jeremy Thigpen: Thank you.
Operator: Our next question will from Ole Slorer with Morgan Stanley. Please go ahead.
Ole Slorer: Yes. Thank you very much. I wonder whether you could expand a little bit more on the efficiencies. You touched briefly on this, more process oriented, but we’re hearing more and more about preventive maintenance models and kind of changing total cost of ownership. A lot of your competitors are capitalizing what I would call maintenance cost, so you can take that into account when it comes to the total cost of ownership. So Jeremy I just wonder whether you could expand a little bit more on how you’re taking it to the next level?
Jeremy Thigpen: Yes, sure, thanks a lot, thanks a lot for the question. So we recently entered into agreements with the two large OEMs, they’ve put out public releases on that, one was GE the other was Cameron – Schlumberger. And the approach that we took in both of those cases was to look at the total lifecycle cost of the asset. So we started BOP and so you look at our pressure control equipment, you look at the total cost over a 10-year period, you factor in the five-year and 10-year overhauls and you can see what that cost you over the 10 years and so our approach would be, in OEMs words, hey, we need to bring that cost over the 10-year period down. We would like to make it more predictable and we’d like to get away from calendar based overhauls and really move to more reliability centered maintenance. And so we’ve worked really closely with them to build a model that I mean, guarantee that they must lower cost than we historically incurred over the 10-year life of the asset and smooth out our costs on a monthly and quarterly basis. And so through closer coordination we are guaranteeing ourselves now at lower cost of ownership over the 10 years. Now added to that, we also want to continue to bring improved reliability to our customers and so as a sweetener for the OEM to the extent that we can reduce downtime, reduce the number of unplanned poles on these stacks, there is a bonus in a form. And so that’s really a complete alignment between our customer, ourselves and the OEM. And so we’ve done that with across the pressure control equipment with GE and Cameron. We are working on other pieces of critical equipment with other OEMs on similar types of models and so you won’t see the cost-benefit, probably in the first couple of years it will be relatively flat, hopefully we’ll see continued uptime performance improvements. But then as you get into your five and your 10, when you would have incurred those large overhauls, that’s when you start to really recognize the savings.
Ole Slorer: Thanks for that Jeremy. One follow-up question, on the recent reactivation of the sixth generation rig, how – what was the overhead cost to achieve that?
Jeremy Thigpen: You are referring to the Asgard, Ole?
Ole Slorer: Yes.
Jeremy Thigpen: You know that’s not going to be much because we’re looking mainly at adding some of the junior crews to the rig, so everything is coming to one stack in the Gulf of Mexico. So to reactivate that and any other rig that is one stack, it runs $5 million and most of that’s around labor.
Ole Slorer: $5 million, okay well, thanks for that guys, now I’ll hand it back.
Jeremy Thigpen: Thanks Ole.
Operator: Thank you. We’ll move now to Greg Lewis with Credit Suisse. Please go ahead.
Greg Lewis: Yes, thank you and good morning. Terry, I just had a question for your regarding – you talked about some of your customer conversations with, I guess, the oil price coming down for deepwater projects being more competitive. As you talk to your customers, do you get a sense that they are making these projection based on the rig environment in terms of pricing not worrying today, or do we get a sense that since these are multi-year endeavors that they are thinking more around or more of a normalized rig rate? What is that mattering?
Terry Bonno: I think it’s a really good question. I mean the customers that we deal with, they are fully understanding that, rig rates are going to go up. Whenever, you know – and they’ll break that into their five year plan, so they’ll run a model like you’ll run a model based on the assumptions of how the supply and demand of the commodity. So they’re really structurally changing the game and it’s – you know part of the conversations we’ve been having is, these are sustaining cuts that they believe it’s that, they’re not going to see a whole lot more rising except for what you would expect. Services are going to increase and labor is going to increase; but the structural changes have been standardization of their program. You know their subsea programs that’s where a significant amount of their savings are coming from and they’re just able to do things just like we have, just to be able to focus on taking costs out of the system that will be everlasting. So, I don’t think that you know it’s from the rig rates they have any dilutions that would be this low over the next five years.
Greg Lewis: Okay, great and then just with the, you know the potential or I guess jack-up sale ongoing. Just given that there was some backlog associated with a couple of those rigs, did the count – did the rig customer need to be involved in that negotiation he made aware of it, does that potentially impact that contract given the change of control, any color around that anyone can provide?
Mark Mey: Yes, thanks Greg. With regards to that transaction, we intent to operate the rig through the remaining term of the contract. So, as I mentioned in my prepared comments, included then the compensation for those rigs is about $80 million of backlog, which we retain through operating those rigs through the end. So Chevron was not a party to the transaction.
Jeremy Thigpen: Having said that they were informed, yes, but we’ve had several conversations with both their corporate, as well as the regional leadership and just to assure them performance would continue as per usual.
Greg Lewis: Okay and then Terry, I guess, maybe on the squeezing on the one end, just as we think about it that, I mean you guys have – just sort of your jack-up fleet, what is the customers feedback and like is anyone saying, hey, can you go buy some more jack-up rigs so we can contract the jack-up rig from you?
Terry Bonno: That’s a great question. I think one of our major customers always asked us the question, why is it www.deepwater.com when you own jack-ups. So, we made the decision and I think it’s in a clear strategy that we talk about all the time is that we’re focused on high specification floaters and harsh environments, so that’s where we’re heading and we are excited about it.
Jeremy Thigpen: And visiting with multiple customers since the board and after the Letter of Intent and most have expressed just congratulations. They thought it was actually a good move for us to really focus on the deepwater and harsh environment and really streamline our service offering and our story. So, I don’t think there has been any negative. There is certainly no pushback from any customers so far.
Greg Lewis: Okay, hey great everybody. Thank you for the time.
Jeremy Thigpen: Thanks Greg.
Operator: Our next question will come from Rob MacKenzie with Iberia Capital. Please go ahead.
Rob MacKenzie: Thanks, good morning all.
Jeremy Thigpen: Good morning.
Rob MacKenzie: Terry, I wanted to come back to your comments on tenders and the customer outlook and in particular, if you could frame it for us a little differently perhaps. You know subjectively you talked about a lot of tenders in a number of markets, but how would you contrast against, I guess, industry wide, the number of rigs that are rolling off contract. Are those tenders enough to keep all that reporting; are they enough to put back to work a handful of rigs? Can you help frame it for us in those kind of terms?
Terry Bonno: Okay, so if we look at a year ago in April and then we look to today April 17th, a year ago there was very little tendering that you could even see in 2017 and 2018. There was just no visibility, so now we roll forward one year, we’ve seen an increase of 58% of the tendering opportunities that are out there. So, that’s clearly a huge indication of where we were a year ago to where we are today. You look at you know harsh environment to talk about that and we’ll talk about contract years because the contracts that had been so small duration. So last year, there was about 30 rig years of harsh environment executed. This year, we expect that we’re going to see 40. So things have – so things are really, you can see an incremental increase, and then let’s just look at the number of floater fixtures. For the last two years, we have executed 69 floater – total floater fixtures. Today, we’ve already executed almost 30, and we’re only at the end of April. So it – so that kind of gives you an idea of, definitely you can see the increase. There are a lot of tenders out there that haven’t even really that we’re hearing about and that are not becoming public. So we’re now seeing a little bit more of direct negotiation opportunity and that’s always a good indicator, because if you’ve got a lot of folks that you want to work with, you would definitely put most of these things to the tender. As far as rollover of fleet – in the olden day, rollover of fleet used to be about 50%, and that wouldn’t even go into the demand column. They would just be rolled over. So the day when you look at the rollovers coming off, there’s a big, there’s a large amount of rollovers. But if I look at the tenders that are out there, I don’t see a lot of tenders being priced against the rollovers. So maybe two or three. So these are things that we’re really, as we said, we’re going to focus on the milestones and focus on opportunities. And we are seeing a certainly positive signs right now.
Rob MacKenzie: Great. Thank you. Good answer. That’s all I have.
Terry Bonno: Thank you.
Jeremy Thigpen: Thank you, Rob.
Operator: [Operator Instructions] We’ll go next to Colin Davies with Bernstein. Please go ahead.
Colin Davies: Good morning. Just to expand a little bit on the conversation around the nature of the tendering market. I think on the last call, you talked about the nature of the customer base, perhaps that broadening out to NOCs and independents. Can you give some color around, is the breadth of this increasing, tendering, are you seeing the majors reengaging on a large scale, or is it more broad across, large independents and NOCs?
Terry Bonno: We’re not seeing in this – increase in tendering right now. We’re not seeing a huge representation of the majors. But we’re seeing a very large representation of the IOCs and some NOCs. So that’s – this is typically what happens when you’re coming out of the cycle, you’ll see – it will shift, because the majors have already gone long and they’re working off their – they’re working off their term, whereas the independent, they’re always – they always have their inventory ready to go. And so do the NOCs, they’ll typically work through the cycles, the lower cycle anyway. So that’s what we’re seeing.
Colin Davies: That’s very helpful. And then just a follow-up on the supply side, given what you’re seeing now in the marketplace and the tendering activity, how are you thinking about the supply side portfolio perhaps your attitude to your own scraping and perhaps what you’re seeing across the industry more broadly. Do you see that that level of supply side adjustment begin to slowdown in anyway?
Jeremy Thigpen: Yes, the one thing I would say to start this is, don’t look at the absolute number on the supply side. I think that would be a mistake for a number of reasons. One, if you look at the total supply, there are a number of rigs in there that just don’t have the technical capability that our customers are demanding in the current environment. And so you can go and you can cut a few out there. Then Terry mentioned that that customer are putting a greater focus on financial stability of drilling contractors, so you can probably take a few out there. And then we know for a fact that a lot of these rigs that they’re being stacked are not being preserved the way that they need to be preserved. And so the cost to reactivate them are going to be prohibitive. And so, I think if you look at the total – the absolute number on the supply side, you’d probably be making a bit of a mistake. So I don’t think the supply side is near and the gap is nearly as wide as it seems just by looking at the absolute numbers. So, I would say, that would be my starting point. With respect to continued retirement, we have retired 31 rigs from our fleet over the course of last two-and-a-half years, I guess, it is. We continue to evaluate our fleet on a regular basis. And as we get a little more visibility to the downturn and customer sentiment, we run models to say what’s it going to cost to reactivate this rig. Does it require upgrades? What does that cost? What do we think the first day rates going to look like? And as time evolves, we may make the decision on some of our rigs to say, what – it’s time to go ahead and scrap it, can’t speak for the rest of the industry, but that that’s our approach.
Colin Davies: That’s very helpful. Thank you very much. I’ll turn it back.
Jeremy Thigpen: Thank you.
Operator: And our final question today will come from Ian Macpherson with Simmons. Please go ahead.
Ian Macpherson - Simmons: Hey, thanks for the follow-up. This is for you, Mark. You – your O&M guidance for the year of 1.4 to 1.45 does not assume the jackup sale. Would I be correct in estimating that would be about $100 million on an annualized basis at current activity levels for the jackups?
Mark Mey: That’s probably close, Ian. I don’t want to give definitive color on that yet, because as I mentioned, we are operating some of those rigs through the end of their contracts, which can run through second-half of next year in some cases. But that doesn’t seem unreasonable.
Ian Macpherson: Okay. Thank you.
Mark Mey: Thank you.
Operator: And with that being our final question, I would like to turn the conference back over to Brad Alexander for any additional or closing remarks.
Bradley Alexander: Thank you to everyone for your participation on today’s call. If you have further questions, please feel free to contact me. We will look forward to talking with you again when we report our second quarter 2017 earnings results. Have a nice day.
Operator: That will conclude today’s conference. Thank you all once again for your participation.